Operator: Good afternoon, and welcome to the Western Union Third Quarter Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael Alan Salop - The Western Union Co.: Thank you. On today's call, Hikmet Ersek, Western Union's President and Chief Executive Officer; and Raj Agrawal, Executive Vice President and Chief Financial Officer, will discuss the company's 2017 third quarter results and then we will take your questions. The slides that accompany this call and webcast can be found at westernunion.com, under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in the supplemental tables with our press release. Today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2016 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by the Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay, or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek - The Western Union Co.: Thank you, Mike, and good afternoon, everyone. We are pleased with the third quarter results, including the continued success of our digital growth initiatives. Overall, we delivered 3% constant currency revenue growth in the quarter with solid profit margins and strong cash flow generation. Looking at the business segments, consumer money transport growth was led by digital as westernunion.com money transfer revenues increased 23% in the quarter. We continue to be a leader in digital with more than 40 Western Union markets that can deliver funds to over 200 countries and territories across the world. The third quarter results also demonstrate the geographic diversity of our business. C2C growth in the quarter was led by strong performance from Latin America outbound markets, such as Argentina, Brazil and Chile, which helped offset continued weakness in the oil-producing countries of the Middle East and Africa. In our payments business, Business Solutions revenue improved to a slight increase in the quarter and our Argentina, Pago Facil and U.S. Speedpay bill payments businesses each delivered double-digit growth. Overall, we are on track with our constant-currency revenue growth expectations for the year, with reported growth slightly more favorable than expected due to strengthening of key foreign exchange rates. Turning to profitability, our adjusted operating margin was healthy 20.6% in the quarter. We also continued to use our strong cash flow generation to return significant funds to shareholders with over $700 million returned year-to-date through dividends and share repurchases. Now, due to favorable results and trends, we are pleased to raise both our adjusted and GAAP earnings per share outlook ranges for 2017, which Raj will discuss in more details in a few minutes. Strategically, we are focused on accelerating top-line growth over the coming years. Growth initiatives in consumer money transfer include further digital expansion and optimization of our retail business, primarily by improving the customer experience and increasing retention. Some recent progress points of these initiatives include the rollout of westernunion.com in Kuwait and agreement to preinstall Western Union's app on Wiko smartphones in France and further expansion of our account payout network. Initiatives in the payments-based businesses also include digitization efforts such as the EDGE platform in Business Solutions and the next generation platform for Speedpay. And we are putting more resources behind expanding our verticals business which focuses on specialized areas such as education payments and has consistently been our best performer within Business Solutions. We are also continuing to explore opportunities to leverage our unique global cross-border capabilities to drive more and new types of money movement through our platform. To fund and drive implementation of these growth initiatives, we have been focused on producing additional operating efficiencies. Our WU Way business transformation is an important part of these efforts. Although many benefits of the WU Way will take some time to realize, we are seeing good results from the initial implementations, especially we expect to achieve approximately $25 million of cost savings in 2017, increasing to a run rate of $50 million next year. The technology footprint consolidation and in-sourcing efforts are well underway as we consolidate 50 IT locations to a handful of key sites, and the implementation of lean management techniques in our regional operations centers, in Lithuania and Costa Rica, are delivering significant productivity improvements. Rolling out the WU Way across our organization and processes is a multi-year effort, but it's an important part of creating efficiencies to help drive long-term growth. And we are very encouraged by the first-year progress. So to summarize, our third quarter results were solid and we have increased our full-year earnings per share outlook. Our cash flows have allowed us to continue to execute significant dividend and share repurchase programs and we are advancing long-term efficiency and growth initiatives. Now, I would like to turn the call over to Raj to discuss the third quarter results and our full-year outlook in more detail.
Rajesh K. Agrawal - The Western Union Co.: Thank you, Hikmet. Third quarter reported revenues of $1.4 billion increased 2% compared to the prior-year period or 3% on a constant-currency basis. The impact of currency translation net of hedge benefits reduced third quarter revenue by approximately $8 million (07:38) compared to the prior year. In the consumer-to-consumer segment revenues increased 1% on both the reported and constant-currency basis from the quarter. Transactions grew 2% led by strong growth in westernunion.com. Total C2C cross-border principal increased 4%, or 2% on a constant currency basis. Principal per transaction increased 1%, or was flat constant currency. The spread between C2C transaction growth and revenue growth in the quarter was 1% with no impact from currency. Mix had a negative impact of approximately 1% in the quarter, while pricing was flat compared to the prior-year period. Turning to the regional results for the quarter, I will be referring to constant-currency movements as I discuss individual country contributions to the region's results. North America revenue increased 1% on a reported and constant-currency basis, while transactions grew 2%. Strong U.S. outbound growth driven by sends to Latin American and Caribbean countries was partially offset by a weaker trend in the U.S. domestic and U.S. to Mexico businesses. The U.S. domestic money transfer business originated at retail locations declined due to price reductions and softer transaction trends. Although, we continued to see good domestic growth from westernunion.com. In the Europe and CIS region, revenue increased 2%, or 1% on a constant-currency basis, while transactions increased 7%. Revenue growth was again led by France with mixed results from other countries across the region. In the Middle East, and Africa, South Asia region, revenue declined 8% in both reported and constant-currency terms while transactions were down 11%. The revenue decline improved relative to second quarter's rate, but we still experienced the impact of soft conditions in the oil-producing markets. Total inbound business to India was down approximately 10% in the quarter which improved sequentially from a revenue decline of about 15% last quarter. Weakness in the Middle East send markets continued to contribute to the decline. In the APAC region, revenue declined 1% or increased 1% constant currency while transactions were flat. In the Latin America and Caribbean region, Argentina and several other South American markets continued to drive very strong growth. Revenue increased 19% in the region or 22% constant currency on transaction growth of 17%. westernunion.com C2C revenue delivered strong results again in the quarter with revenue growing 23% on both a reported and constant currency basis driven by 24% transaction growth. westernunion.com represented 10% of total C2C revenue in the quarter. Business Solutions revenues grew 2% or 1% constant currency, including a negative 3 percentage point impact from the loss of the XE.com business. Revenues benefited from good growth in key verticals such as universities and NGOs, but this was partially offset by continued declines in sales of hedging products, partially due to lower FX volatility in key markets. Other revenues increased 9% in the third quarter, or 13% on a constant currency basis. Other revenue growth was driven by Speedpay in the U.S. and the Pago Facil walk-in bill payments business in Argentina. The bill payments businesses represented over 85% of other revenues in the quarter and our Speedpay U.S. electronic bill payments business is the largest component. Turning to margins and profitability, the consolidated GAAP operating margin in the quarter was 19.3%, which compared to 20.2% in the prior-year period. Adjusted operating margin of 20.6% in the quarter compared to 21.7% in the prior year. The margin decline in the quarter was primarily due to higher incentive compensation expense and increased marketing spend. Adjusted metrics in the current quarter exclude $10 million of WU Way expenses and $8 million related to an accrual for estimated cost of an independent auditor which was required by our January joint settlement agreements with federal and state government. The prior-year quarter excludes $5 million of WU Way expenses and $15 million of accruals related to the joint settlement agreement. We achieved approximately $11 million of savings from the WU Way initiatives in the quarter, bringing the year-to-date savings totaled to $12 million. We now expect approximately $25 million of savings for the full year, up from our previous estimate of $20 million. Full year WU Way spending is expected to be closer to $95 million, down from the previous estimate of $100 million. Currency negatively impacted operating profit in the quarter by approximately $9 million compared to the prior-year period. Foreign exchange hedges in the third quarter had a negative impact of $2 million due to the strengthening of the euro and other key currencies, which compared to a benefit of $12 million in the third quarter of 2016. For the full year, we now expect approximately $5 million in hedge benefits. Compliance expense was 3.5% of revenue in the third quarter. We now expect compliance expense for the full year to be closer to the low end of the 3.5% to 4% range in our outlook. EBITDA margin of 24% in the quarter compared to 25% in the prior-year period, while adjusted EBITDA margin of 25.3% compared to 26.5% in the prior-year period with the decline attributable to the same factors as operating profit margins. The effective tax rate in the quarter was 1.5% compared to 9.6% in the third quarter of last year. The adjusted tax rate was 3.6%, which compared to 11.7% in the prior-year period. The tax rate in the quarter reflects discrete benefits related to statute of limitations expirations on certain reserved items. Our full year tax rate outlook has not changed, as we continue to expect full-year tax rate outlook has not changed, as we continue to expect the gap effective tax rate to be approximately 10% to 11% and the adjusted rate to be approximately 12% to 13%. GAAP earnings per share of $0.51 in the third quarter increased from $0.44 in the prior year period, while adjusted earnings per share of $0.53 increased from $0.47 in the third quarter of last year. The C2C margin was 23.5% compared to 25.1% in the prior-year period. The margin decrease was primarily due to higher incentive compensation-related expense and increased marketing spend. Business Solutions operating profit margin was 9.1% in the quarter compared to 4% in the prior-year period driven by operating expense efficiencies and lower depreciation and amortization which were partially offset by higher technology expense. Depreciation and amortization for Business Solutions was approximately $11 million in the current quarter compared to $13 million in the prior-year period. The Business Solutions EBITDA margin was 19.7% which compared to 17.5% in the third quarter of 2016. Operating margins for the businesses included in other revenues was 10.5% in the quarter which compared to 10.1% in the prior year. The year-over-year margin improvement was driven by revenue growth and technology efficiencies, which were partially offset by higher compensation-related spends and higher bank fees in U.S. electronic bill pay. Turning to our cash flow and balance sheet, cash flow from operating activities was $423 million year-to-date. This includes outflows of approximately $600 million from payments related to the settlement with federal and state governments and WU Way spending, net of associated tax benefit. Capital expenditures were $47 million in the third quarter. And at the end of the quarter, we had debt of $3.5 billion in cash of $1 billion with approximately half of the cash held by United States entities. During the quarter, we issued $100 million of five-year notes with a coupon of 3.6% and $250 million of floating rate notes due in 2019. We returned $180 million to shareholders in the quarter, consisting of $80 million in dividends and $100 million of share repurchases, which represented 5 million shares. The outstanding share count at quarter-end was 459 million shares and we had $956 million remaining under our share repurchase authorization. Based on our results and recent business trends, we are affirming the outlooks for operating margin and increasing our earnings per share and cash flow outlooks compared to our previous outlook reported on August 3. We are increasing our outlook for GAAP revenue slightly to reflect a more favorable exchange rate while the constant currency revenue outlook has not changed. We now expect GAAP revenue growth to be a low-single-digit increase, a slight improvement from the previous outlook of flat to low-single-digit increase. Given favorable profitability trends, we are increasing our adjusted earnings per share outlook to a range of $1.75 to $1.85, up from $1.70 to $1.80 previously. GAAP earnings per share, which has also been increased to a range of $1.50 to $1.60 compared to $1.46 to $1.56 in our previous outlook. Both earnings per share ranges reflect an approximately $0.07 negative impact from foreign exchange compared to the prior year, down slightly from our previous projection of an $0.08 negative impact. We are increasing expected GAAP cash flow from operating activities to approximately $600 million primarily due to tax-related items, better-than-expected working capital changes and increased profitability. On the tax items, the approximately $100 million of anticipated final tax payments related to the 2011 IRS agreement are no longer expected to be paid in 2017. In addition, this year's cash flow is benefiting from a tax refund related to prior-year overpayment and other lower than expected tax payments. Excluding the impacts of the settlement agreement payments and WU Way spending, expected operating cash flow for the full year would be approximately $1.2 billion. So to summarize, we are pleased with the solid business performance in the third quarter. We generated strong profitability and cash flow, continued to return significant funds to shareholders and increased our earnings per share outlook for the year. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. The first question comes from Tien-Tsin Huang of JPMorgan. Please go ahead.
Tien-Tsin Huang - JPMorgan Securities LLC: Great. Thank you. Good afternoon to all of you guys.
Hikmet Ersek - The Western Union Co.: Hello. How are you?
Tien-Tsin Huang - JPMorgan Securities LLC: I'm well, I'm well. The margins were nicely ahead of our expectations and you're running, I guess, what 20.6% year-to-date, you're guiding to approximately 20%. So, I'm curious, why not raise the margin outlook for the year, should we expect a step-down in the fourth quarter?
Rajesh K. Agrawal - The Western Union Co.: Hi, Tien-Tsin, this is Raj. We are guiding to approximately 20%. So it could be a little bit above or around that range, it really depends on how the spending goes in the fourth quarter. We have planned for additional spend in marketing in other areas in the fourth quarter, so the margins are likely to be lower in the fourth quarter, but the overall margin for the year should be still quite solid.
Tien-Tsin Huang - JPMorgan Securities LLC: Got it.
Rajesh K. Agrawal - The Western Union Co.: As you've seen.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. Yeah. Got the approximate is the keyword.
Rajesh K. Agrawal - The Western Union Co.: Yes.
Tien-Tsin Huang - JPMorgan Securities LLC: And then, I'll ask on the WU Way savings there. I guess, you guys upped your savings a little bit and then actually reduced the expense of it by about the same amount. So is that – given how far along you are in that, is there more sort of upside here given what you've seen, what's driving the exact savings? Just trying to get better understanding what's structural versus maybe something just better than what you expected?
Hikmet Ersek - The Western Union Co.: Yeah, Tien-Tsin, let me take that one. As you know, the WU Way initiative is a real lean management initiative which we implemented all over the company. The first results are very encouraging, it's better than we expected. I think the company started to operate in a different way, more much in a efficient way. And that is the one that's a reflection. Now, we are taking that, it's a multi-year shipment taking all over the company. And we expect $50 million of savings next year and this is encouraging and also operating in a different way. And what we are going to do, also taking the lean management tools really focusing on our growth initiatives also. We want to take that, it's not only cost savings, it's really to drive the growth stronger especially in the new initiatives and doing in a better way, that's something that we are very excited about.
Tien-Tsin Huang - JPMorgan Securities LLC: All right. Great. Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks, Tien-Tsin.
Operator: The next question comes from Darrin Peller of Barclays Capital. Please go ahead.
Darrin Peller - Barclays Capital, Inc.: Hey, thanks guys.
Hikmet Ersek - The Western Union Co.: Hi, Darrin.
Darrin Peller - Barclays Capital, Inc.: Hey, Hikmet. Let's just start off, I mean, it looks like pricing and transaction trends are fairly stable again. If you could just touch on that in terms of sustainability along with what implications we have on the model around mix on the RPT, the per transaction revenue? And then just as part of that, the World Bank I know took up remittance flow estimates to, I think, the mid-single-digit range. So is that, do you find that the trends you're seeing now on the transaction trends now should even be more so – does it look more sustainable now in the context of what we're seeing from some of the outside estimates? Thanks.
Hikmet Ersek - The Western Union Co.: Yeah. I can take maybe that overview, big view, and Raj can go on the mix maybe, more mix side. Well, generally, I would say that we are satisfied with our transaction growth and with our business. And as you said, it's stable, we'd – also don't see a lot of price pressure there. There have always been as I mentioned, some corridors, we're going to adjust that, but generally the prices are very stable and we are comfortable with where we are with that and also with the transaction growth. The big help for Western Union is always being in 200 countries, and we are having a strong portfolio. We have strong geographic diversity, we have a very strong outbound Latin America outbound business, which recently really came out, U.S. outbound is still strong growth. We did see some softness in U.S. to U.S., but U.S. to Mexico maybe but it's not that big, so it's only of one quarter. I would say that the business generally is very stable and the diversity is very good. France is doing good, Europe is doing good. So these are good numbers, transaction-wise good. There are some mix, definitely – maybe, Raj, you want to add some comments?
Rajesh K. Agrawal - The Western Union Co.: Yeah. On the mix impact of about 1 point in the quarter that's something that we have been seeing for this year. It's really hard to predict exactly where that will be. And it really just depends on where we're getting the growth and obviously the growth is coming from lower RPT corridors and lower growth in higher RPT corridors and if you look at last year it was about the same and then, in 2015 it was flattish in terms of overall mix impact. And the World Bank data, they adjusted their principal growth for last year and our principal growth was in line with what the World Bank showed and then for this year, they expect something just under 4% principal growth. Our third quarter, we grew about 4% in principal, so we'll see where we end up for the year, but we're tracking in terms of at least the third quarter.
Hikmet Ersek - The Western Union Co.: Yeah. So just also as you said, Darrin, in the last quarters, actually not only this quarter, has been quite stable the business. Our core business is extremely resilient and the growth is definitely coming from our new initiatives like the digitalization, like in also...
Darrin Peller - Barclays Capital, Inc.: Right, that makes sense.
Hikmet Ersek - The Western Union Co.: ... about 10% of our revenue.
Darrin Peller - Barclays Capital, Inc.: Yeah, I know. That helps. I mean one of the things that you guys used to consistently call out pricing pressure as almost part of your annual guide of a couple of points and we – it just seems like we're in a different environment now and I wonder if there is something that's structurally changed in your view that's causing that. I mean just the stability has been pretty consistent?
Hikmet Ersek - The Western Union Co.: Yeah. I think remember the big pricing investment was 2012. So it was...
Darrin Peller - Barclays Capital, Inc.: Yeah.
Hikmet Ersek - The Western Union Co.: ...many, many years ago and we did adjust our business, sort of reset our business there. I think we've been very stable and the other thing is also, it's a complex business, there is a complexity on that. I believe also the competitors and everybody understands that moving money cross-border, cross-currency is a complex business and we've been quite active in the early years investing in the compliance, investing in the technology and really adjusting, resetting our business; that helped a lot to have that consistency.
Darrin Peller - Barclays Capital, Inc.: Yeah. In various countries.
Rajesh K. Agrawal - The Western Union Co.: Darrin, we have, as you know, we have thousands and thousands of corridors, so we're always moving pricing in many of those corridors, sometimes up, sometimes down, but on a macro basis, it doesn't translate too much in terms of net change.
Darrin Peller - Barclays Capital, Inc.: Okay.
Rajesh K. Agrawal - The Western Union Co.: But individually, individual corridors we're moving pricing for sure.
Darrin Peller - Barclays Capital, Inc.: All right. That's helpful. Just one quick follow-up and I'll turn it back, is just on the, I think you guys mentioned you saw lower agent commissions – just if you can give us a little more color on that? I know that's gone back and forth through the years. But was that around negotiating at lower rates or is that a mix or can you just comment on that? And I guess, sustainability around that?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I would say both of those things are benefiting us. We didn't call it out specifically this quarter, but we're continuing to see good performance from both the absolute commission rates that we're seeing in the business as well as the mix benefits from just faster growth of our digital business that's continued to drive overall commission rates down, if you will so, that trend is continuing. So it's a positive.
Hikmet Ersek - The Western Union Co.: Darrin, I think it's a part of overall as I mentioned to Tien-Tsin before, it's a part of WU Way initiative overall, right, not only the commissions, but really how we operate more efficient in the market that lean the management helps also.
Darrin Peller - Barclays Capital, Inc.: Got it. All right. Very helpful guys, thanks.
Rajesh K. Agrawal - The Western Union Co.: Thanks, Darrin.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: The next question comes from Bryan Keane of Deutsche Bank. Please go ahead.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi, guys. How you doing?
Hikmet Ersek - The Western Union Co.: Hello, Bryan.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Just wanted to ask on the third quarter results, did – was it ahead of your guys' internal expectations and maybe if it was, what exactly was a little bit better and surprised you guys?
Hikmet Ersek - The Western Union Co.: Yeah. I would say that certainly the tax rate was lower. We had originally expected a lower tax rate in Q4. So that's certainly in terms of timing that's shifted. And, we've continued to see favorable profit trends with the currency helping us a little bit and we're also getting some benefits from lower compliance spend. So those things are positive and that's really why we've taken up our overall outlook for the year.
Bryan C. Keane - Deutsche Bank Securities, Inc.: And the $0.05 raise in the guidance, was that predominantly currency?
Hikmet Ersek - The Western Union Co.: No. I would say there was some profit impact. Some of it was currency, $0.01 of it was roughly currency. Overall currency impact is about $0.01 better this time in our outlook versus last time and the rest of it was just favorable trends overall. And you know as I said, I think those are the two components.
Bryan C. Keane - Deutsche Bank Securities, Inc.: And then just on that lower compliance spend. Can you maybe talk, is that a trend in the marketplace, maybe you can talk about what you're seeing there and going forward, is it possible that number continues to track lower?
Rajesh K. Agrawal - The Western Union Co.: No. I would say that, you know we're in the 3.5% to 4% range. Some of it is just timing more than anything else. But we're also trying to do things as efficiently as we can you know with technology and other solutions. So – you know we've been stable in that 3.5% to 4% range now for the last few years and you know so it's not – it's a relatively small range as you know, so that's we are still in that range.
Hikmet Ersek - The Western Union Co.: In general I would not see the compliance going away, in fact we do – we are invested constant in compliance programs.
Rajesh K. Agrawal - The Western Union Co.: Yes.
Hikmet Ersek - The Western Union Co.: Right, I mean that's going to be one of them, we see that as a competitive advantage and we did it in early years, Bryan don't forget that. I mean, that has been investment and I think we are continue to do. The thing is that we also put lean management tools there, and the efficient – we are running in a much more efficient way compliance and the team is doing a great job there.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay, no, that's helpful. Thanks, guys.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: The next question comes from Jason Kupferberg of Bank of America Merrill Lynch. Please go ahead.
Jason Kupferberg - Bank of America Merrill Lynch: Great. Thanks, guys.
Hikmet Ersek - The Western Union Co.: Hello, Jason.
Jason Kupferberg - Bank of America Merrill Lynch: Maybe just to start on. Hello, there. I wanted to start the question on westernunion.com. Obviously, the trends have been pretty healthy there, and I just wanted to get your general thoughts on how long can we sustain these kind of low or mid-20s kind of revenue growth rates in that channel. I mean, you're now up to 10% of C2C. The base is getting a little bigger, but obviously the opportunity set is still big globally. So, I mean, is this – do you see kind of multi-year runway for these rough kind of growth rates or...?
Hikmet Ersek - The Western Union Co.: Well, obviously, I have not given long-term guidance on the growth rates, but I think we are very pleased with the beginning of a big journey here. I believe that the growth will continue to happen from digital. We are just in around 40-plus countries around the world with our online send apps, with our westernunion.com applications and sending money to 200 countries. And the competition have a hard time to go to the more countries because we have the regulatory environment, we have the compliance, we pay out in 131 currencies, we pay out in 500,000 locations or 3.5 billion accounts that can go forever. So, the growth rate is there and the team is expanding. We will like to be in 200 countries, sending money to 200 countries, that's our goal. Obviously, if we can send money via retail why not sending money only digital on 200 countries. So that's something we are focused on that. The growth is, as I said, it's just the beginning of a bigger picture. But the growth happening here from send site and we also started to do our account payout which is a big advantage. We are – in India, for instance, we have about 100,000 locations. We are not paying only on the location, but a big chunk of the transaction is going now on accounts. And we opened that, that's also a new customer segment. It's 80% of our customers still as new to westernunion.com so I am excited about that.
Jason Kupferberg - Bank of America Merrill Lynch: And just on the domestic money transfer business, I think you mentioned that there was some pricing pressure there. I mean was that in line with what you had anticipated or did something new happen in the quarter and when do we lap those pressures?
Hikmet Ersek - The Western Union Co.: I didn't say the pricing pressure there. Our prices I believe in the U.S. domestic, we adjusted for a longer time and are quite competitive. And there are some price – some U.S. to U.S. softness, we see it currently, but I'm not sure it's the pricing pressure and we don't see significant price differences on the market there. Our transactions are below $200 and most of them are paid out in cash. But I think...
Jason Kupferberg - Bank of America Merrill Lynch: All right.
Hikmet Ersek - The Western Union Co.: ...the average is about $150 or something like that on the U.S. to U.S. only and paid out in cash and that's a big competitive advantage because we have 50,000 locations. You can send online, the sends are done mostly by online or by mobile app, but the payout is in cash. This combination between online and cash is a huge competitive advantage.
Rajesh K. Agrawal - The Western Union Co.: And the dotcom business domestically continues to do very well and accelerated slightly actually in the quarter.
Jason Kupferberg - Bank of America Merrill Lynch: Okay. That's helpful. Raj, just one more quick one for you. If I look at the LACA region, the constant-currency revenue growth has been well ahead of transaction growth for at least the last couple of quarters. Any callouts there in terms of what's driving that, is that spread expected to continue?
Rajesh K. Agrawal - The Western Union Co.: I don't have a forecast for the spread, but some of it is continuing from the larger price reductions we had made in Argentina more than a year ago. So some of that is continuing, but overall I would just say the Latin America business is getting healthy growth across the board. Argentina, Brazil, Chile, the conditions are quite strong there. We've seen stronger growth throughout that region more than we've seen in some time. So it's good.
Hikmet Ersek - The Western Union Co.: Maybe, Jason, just maybe use the opportunity, we are also now focused on the traditional inbound countries, which for years were inbound countries, also doing outbound from there. You can see like Argentina or Brazil or Turkey or Russia they've been now outbound countries and we are using also our digital way to force out funds (33:34) there. So you could see that we have different customers not only on the inbound now, growth comes also from new kind of outbound countries.
Jason Kupferberg - Bank of America Merrill Lynch: Okay. Well, I appreciate all that. Thank you, guys.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Operator: The next question comes from Kartik Mehta of Northcoast Research. Please go ahead
Kartik Mehta - Northcoast Research Partners LLC: Hey, good evening, gentlemen.
Rajesh K. Agrawal - The Western Union Co.: Hi. Hi, Kartik.
Hikmet Ersek - The Western Union Co.: Hi, Kartik.
Kartik Mehta - Northcoast Research Partners LLC: Oh, hi. Raj, you talked about increased marketing spend and I'm wondering is this more than you anticipated or is this more just a timing issue?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I'd say I think it's mostly timing, we had been messaging earlier in the year that we were under-spending in marketing. And so now that's catching up with us, so it's as expected from a couple of quarters ago. We're launching a number of different programs on the digital side to acquire customers. We're also trying to create awareness at some of our other digital capabilities of paying out into accounts. So it really is more timing than anything else.
Kartik Mehta - Northcoast Research Partners LLC: And Hikmet, I know you talked about pricing, and as you look at your westernunion.com business, it seems like pricing is really stabilized there. Is there a reason for this, is that just less competition or are you in markets where you're not seeing as much competition. What's the primary driver there?
Hikmet Ersek - The Western Union Co.: I think first of all, in the market, we feel comfortable that's for sure. We feel that's very competitive. I mean, don't forget our prices are still 15% to 20% higher in average from the competition overall in every trade. I mean, we do have a competitive advantage, trust, global network, speed, anti-money laundering activities, all these things add on to allow us to be a premium price. The other thing is also, Kartik, as you know the business, that's the beauty of being in so many corridors. We do portfolio management. In some corridors, we increase prices, some corridors we decrease prices. And we really are like a last-minute airliner, right, you fly on last minute, you want to pull up your feet. We really look at, we do street corner pricing, we do weekend pricing. So we are quite flexible there. And that gives us an overall almost flat pricing that has not changed over some, few quarters now.
Kartik Mehta - Northcoast Research Partners LLC: And then just one last question, Hikmet. Just your thoughts on what you're seeing in terms of competition as small and mid-sized money transfer companies they're having to deal with all these compliance costs? Are you seeing more consolidation? Are you seeing them, fewer of them or is it business as usual?
Hikmet Ersek - The Western Union Co.: I think there has been always competitors on some certain corridors. I think if you're a mid- and small-size company, you have difficulties to be a global company. That's where our big network effect comes. That's where our global trust comes. And on the small – there will be always competitors on certain corridors and we've been dealing in early years with our retail business and now it's on to more on the digital, but that don't forget 10% of our revenue is already westernunion.com. That's by far the largest digital business in the market.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much. Appreciate it.
Hikmet Ersek - The Western Union Co.: Thanks.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Operator: The next question comes from Andrew Jeffrey of SunTrust. Please go ahead.
Jennifer Dugan - SunTrust Robinson Humphrey, Inc.: Good afternoon. This is Jenny Dugan in for Andrew.
Hikmet Ersek - The Western Union Co.: Hi, Jenny.
Jennifer Dugan - SunTrust Robinson Humphrey, Inc.: Hi. You mentioned in North America, there was some softness in pricing, just domestically within U.S. to U.S.; is that being impacted by the lower pricing in Walmart?
Rajesh K. Agrawal - The Western Union Co.: We don't believe that's really impacting us much. Obviously, we have 50,000 locations here in the U.S.; Walmart has 4,000. Walmart, what they did most recently was they reduced an already low price. And so it really remains to be seen on whether an even lower price is going to bring in more traffic into those stores. So we feel very good about our positioning. If you look at our nation-wide pricing, it's pretty competitive to the other offerings and distribution is very strong as well. So that's not really the key driver and DMT in total for us is about 7% of our total revenues, just to put that in perspective. And again dotcom continues to grow really well from a DMT standpoint and we saw some accelerated growth there. So we're well-positioned competitively.
Hikmet Ersek - The Western Union Co.: On the 50,000 locations, Jenny, I would like to say that that's such a competitive advantage. You can send from mobile where you are now to 50,000 locations and we can pay out in minutes cash out. So that's a huge advantage that I think the competition doesn't have it.
Unknown Speaker: Okay. And just quick follow-up, you mentioned that the tax rate in Q3 came in more similar to what you've been expecting for Q4. So is that just timing or are we going to see a lower rate in Q4 as well?
Rajesh K. Agrawal - The Western Union Co.: Yeah. It's just timing. We have not changed our full-year outlook on the tax rate. So still 10% to 11% or 12% to 13% adjusted tax rate for the full year, which is the same as we gave last time.
Unknown Speaker: Okay, got it. Thank you.
Hikmet Ersek - The Western Union Co.: Sure.
Operator: The next question comes from Jim Schneider of Goldman Sachs. Please go ahead.
James Schneider - Goldman Sachs & Co. LLC: Good afternoon. Thanks for taking my question.
Hikmet Ersek - The Western Union Co.: Hi, Jim.
Rajesh K. Agrawal - The Western Union Co.: Hi, Jim.
James Schneider - Goldman Sachs & Co. LLC: Hi, guys. I guess maybe on just a follow-up on the earlier questions on U.S. to U.S., it looks like transaction growth slowed down pretty notably in the quarter after having been pretty strong for quite some time. Can you help us unpack whether that's the entire market or potentially share issue and then maybe whether the hurricanes helped or hurt that in the quarter?
Rajesh K. Agrawal - The Western Union Co.: Yeah. Well, there are three pieces to the North American business that you're looking at. One is, U.S. outbound and U.S. outbound continued to grow really well. We saw strong trends similar to what we saw in the prior quarter and that's the largest piece. The U.S. domestic money transfer business, the retail part of the business did see some softness both in revenue which was driven by some of the price reductions we've made, but also some transaction softness. Some of it may be related to the hurricanes, but we'll see what that impact was as we get into the fourth quarter. It's hard to know exactly how much that was, but some of it may have been from the Hurricanes. And then the U.S. to Mexico is also part of that number and the transaction trends there were a little bit softer as well. The overall market seems to be a bit softer in Mexico, that seems to be more of the impact.
James Schneider - Goldman Sachs & Co. LLC: That's helpful. Thanks. And then good to see the margin performance in the quarter, maybe just looking forward to the $50 million in savings, you talked about as part of WU Way, it's good to hear. But I think Hikmet, I also heard about some discussion around new product and technology investments. So, I'm just trying to understand, as we head into 2018, would you expect to drop the full $50 million to the bottom line or would that be partially offset by new investments and maybe give us a sense of what those might be on the margin for next year?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, we'll give a view of the margins and the other components of our outlook when we go into next year, Jim. But obviously we like the fact that we're getting more savings that's positive for us. Revenue growth is still going to be the number one driver for us in terms of where overall margins are because our cost structure is about 40% fixed. But we also want to look at some of the investment opportunities. Our goal is to try to accelerate revenue longer term, so we do want to put some of the money back into growth opportunities. Hikmet talked about digital expansion globally. We want to be 200 countries to 200 countries digital to digital in our wu.com business. So that requires investment. So, we'll see where we ultimately end up, but we like the strong margins we're getting this year and we want to continue to drive a good balance between investing and also driving good profitability.
James Schneider - Goldman Sachs & Co. LLC: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks Jim.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: The next question comes from Ashwin Shirvaikar of Citi. Please go ahead.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hey, guys. Thanks.
Rajesh K. Agrawal - The Western Union Co.: Hey, Ashwin.
Hikmet Ersek - The Western Union Co.: Hello, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Good evening, hey. How are you both?
Hikmet Ersek - The Western Union Co.: Good. How are you?
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: I'm good. Thanks. I hope that didn't count as a question.
Hikmet Ersek - The Western Union Co.: No, I feel good.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: So, I wanted to ask about compliance. The compliance range, the difference between sort of the lower end of compliance and higher 3.5% to 4% about $30 million from my calculation is about $0.06 of EPS. It's pretty material, what drives differences in estimates as you go through the year with regards to whether you end up at the lower end of the range or upper end of the range.
Hikmet Ersek - The Western Union Co.: Ashwin, first of all, we are pleased that we are targeting the lower end, right?
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Definitely.
Hikmet Ersek - The Western Union Co.: That helped. That has been definitely great teamwork of the compliance department, IT department, and WU Way efficiencies, that has been the thing. But don't forget that this business is complex, it's in worldwide everywhere and one of the competitive advantages that we can manage that complexity and where others a little bit struggle I believe. And we always want to be proactive and invest in the compliance and that's something that I'm very focused on that the compliance and anti-money laundering programs have enough resources and really in efficient ways and I call it now also as investment. We invest for our future and that's why we are – keep it a little bit – still give it 3.5% to 4% because it's complex.
Rajesh K. Agrawal - The Western Union Co.: Ashwin, we came into this year expecting at the higher end because of some of the joint settlement agreements and the incremental activities, so the timing of some of those things have allowed us to be at the lower end. But we're continuing to invest as Hikmet said.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Right. But the joint settlement stuff happened like in 1Q, right, so I guess the question becomes you already have the settlements now.
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: So going back to the previous question...
Rajesh K. Agrawal - The Western Union Co.: I mean, part of the reduction – sorry, Ashwin, part of the reason why we are at the lower end as you heard last time, we talked about the Southwest Border activities being completed early. And so that's something that we had not anticipated at the beginning of the year. So that's one of the reasons and then other efficiencies.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Got it. Got it. And then no one ever asks you about your Business Solutions type of – but that profitability improved from 5% to 9%.
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: It's just kind of like $0.01 of EPS, so what's driving that?
Rajesh K. Agrawal - The Western Union Co.: It helps. Just operating efficiencies, obviously we'd rather get stronger revenue growth, that's our number one priority. But we've also been managing the bottom line in that business, just in the environment that we're in. So it certainly helps. But our number one focus there is still to drive better top-line growth.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Got it. Okay. Thanks, guys.
Hikmet Ersek - The Western Union Co.: Thanks, Ashwin.
Operator: Yeah. The next question comes from Tom McCrohan of Mizuho. Please go ahead.
Thomas McCrohan - Mizuho Securities USA, Inc.: Hi, thanks for taking my question. I'm looking at the Middle East region and just trying to understand the sustainability of the trends there. You had a slight deterioration sequentially in transactions. But constant-currency revenue improved. So is there some pricing actions that you took in that market this quarter and just kind of how sustainable and the outlook for that region in general?
Rajesh K. Agrawal - The Western Union Co.: Yeah. There is probably some pricing that's helping us there. We expected that in the second half of this year, we would start to get some grow-over benefit. Key parts of the Middle East started to decline in the second half of last year and then as we go into the fourth quarter, India, the demonetization that began in India in November of last year should start to grow over.
Hikmet Ersek - The Western Union Co.: Because India's strong corridors are from Saudi Arabia.
Rajesh K. Agrawal - The Western Union Co.: Yeah. And the Middle East is a key sending region to India and so that should start to help some of the actual metrics in the Middle East and India. So you should start to see a little bit better grow-over impact from that as we go into the fourth quarter.
Thomas McCrohan - Mizuho Securities USA, Inc.: Is Saudi Arabia to India still your third largest corridor?
Rajesh K. Agrawal - The Western Union Co.: I don't know where it ranks, but it's still very important to – that's a very important corridor for us, Saudi to India. I don't know of its exact ranking, but clearly the top corridor for Saudi is to India.
Thomas McCrohan - Mizuho Securities USA, Inc.: Okay. And just last question on mobile, what percentage of your overall C2C transactions are originating through your mobile app today?
Rajesh K. Agrawal - The Western Union Co.: About two-thirds of our transactions are initiating in our mobile app on wu.com. So if that was your question on wu.com, about two-thirds of our business is originating on a mobile app and it's even higher in the U.S. And so we're getting very strong growth and we don't have mobile everywhere yet. So that's really the goal is to be mobile....
Hikmet Ersek - The Western Union Co.: And the reason why it's U.S. higher, Raj, is because we've been longer in the market with the U.S.
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Hikmet Ersek - The Western Union Co.: Takes some time and we are opening the new countries – and in some countries we go only by mobile in the country, which brings us huge competitive advantage. And it's really working very well with their own language, with their own apps, so that works pretty well.
Thomas McCrohan - Mizuho Securities USA, Inc.: Yeah. Thank you.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Operator: The next question comes from Ramsey El-Assal of Jefferies & Company. Please go ahead.
Damian Wille - Jefferies LLC: Hi, guys. This is Damian Wille on for Ramsey. Thanks for taking my questions.
Rajesh K. Agrawal - The Western Union Co.: All right, good. How are you?
Damian Wille - Jefferies LLC: I am good. Thanks. How are you?
Rajesh K. Agrawal - The Western Union Co.: Good.
Damian Wille - Jefferies LLC: Good. So, I mean, at this point, a lot of my questions have kind of been picked over, but I guess, can I can ask on, is the guidance here in Q4, the full-year guide on the top-line implies acceleration in Q4. Can you kind of speak a little bit about your confidence in that. I know you called out FX as a driver at least of the GAAP revenue acceleration, but is there anything else in there?
Rajesh K. Agrawal - The Western Union Co.: I mean, it depends on the trends that we see in other parts of our business. We'll start to see some grow-over benefit as I just mentioned in certain parts of our consumer business. We've continued to see good strong trends in our digital business. And our bill payments businesses have been doing quite well, both Speedpay as well as Pago Facil. So those are really the key drivers of growth, both from a constant currency and a reported standpoint and then of course currency is helping us from a reported standpoint.
Damian Wille - Jefferies LLC: Okay. That's helpful. And kind of related on the currencies here and maybe going out on a limb here, but do you ever – I'm talking the slowdown in North America and Europe sequentially. Do you ever see that the strength or weakness in any major currencies like the dollar or the euro plays a role in the fundamentals of your business?
Rajesh K. Agrawal - The Western Union Co.: It can, it can. Over the long term, probably not, but in the short term, if there are extreme moves in currencies, then customers may change their behavior at times. When we saw the Indian rupee weaken some time ago or when we've seen the peso, we've seen a large influx of business into those markets. So currency moves in the short term can certainly have an impact on consumer behavior.
Damian Wille - Jefferies LLC: That's interesting. All right. I'll leave it there. Thank you.
Hikmet Ersek - The Western Union Co.: Thank you.
Hikmet Ersek - The Western Union Co.: Sure.
Operator: The next question comes from Rayna Kumar of Evercore ISI. Please go ahead.
Rayna Kumar - Evercore Group LLC: Good evening.
Hikmet Ersek - The Western Union Co.: Hi, Rayna.
Rayna Kumar - Evercore Group LLC: For 2018 and 2019, can you quantify the potential revenue and earnings impact from your recently expanded partnership with Mastercard to integrate Mastercard Send into your money transfer business. And secondly, is there any other partnerships or business you can do with Mastercard?
Rajesh K. Agrawal - The Western Union Co.: Yeah, the way we look at the Mastercard partnership and paying out here domestically, it's really just another channel to deliver our services. We have dotcom today originating transactions which largely pay out on retail, this gives us the opportunity to pay out to all debit cards in the United States, and including Mastercard debit card. So, we'll have to see, we don't really have any projections to give you on that, because we just, we expect it to launch early next year
Hikmet Ersek - The Western Union Co.: But it's a exciting partnership, I have to say it's a exciting partnership, because it gives – really opens a new way of sending money and we are excited about the partnership as we mentioned in the press release.
Rayna Kumar - Evercore Group LLC: Great. Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: Hey, Drew, I u nI understand we have one more question in the queue, so this will be the final question.
Operator: Okay. The last question will be from John Davis of Stiefel. Please go ahead.
John Kimbrough Davis - Stifel, Nicolaus & Co., Inc.: Hey. Good afternoon, guys. Just wanted to touch on WU Way expenses for a minute. I appreciate they're running ahead this year and that's good news. So $25 million run rate this year, $50 million by the end of next year. So I just want to make sure we're implying somewhere between $35 million and $40 million of realized savings next year. Is that the right way to think about it?
Rajesh K. Agrawal - The Western Union Co.: No, the realized savings this year will be $25 million and we'll have an incremental $25 million next year realized. So total realized savings next year of $50 million.
John Kimbrough Davis - Stifel, Nicolaus & Co., Inc.: Okay. And I think you said WU Way expenses will come down next year from the $95 million this year. I'm just trying to figure out, is the WU Way expense program margin-accretive next year meaning you're going to spend less than $50 million on WU Way expenses, or how should we think about that?
Rajesh K. Agrawal - The Western Union Co.: Well, the $95 million of WU Way expenses that we're incurring this year will go away at the end of this year. So the programs themselves we may continue, but we're not going to have the spending next year, so it's zero.
John Kimbrough Davis - Stifel, Nicolaus & Co., Inc.: Okay. So all else equal there should be some margin accretion from the WU Way program next year.
Rajesh K. Agrawal - The Western Union Co.: Yeah, we've tried to call it out separately for GAAP margins and adjusted margins, just so you can see the difference that that's making.
John Kimbrough Davis - Stifel, Nicolaus & Co., Inc.: Okay. Then maybe just briefly on capital allocation, I don't think anyone's talked about M&A in a while, I mean I appreciate the commitment to dividends and buybacks. But how do you guys think about M&A, is it something you consider on a tuck-in basis or larger scale just as the industry changes, maybe some updated thoughts there on M&A?
Hikmet Ersek - The Western Union Co.: First of all, yes, John, we do have a balanced capital generation. Thank God, we have a good cash flow. So, we have the luxury to look around and what is there. But we're going to be smart on our M&A activities. And obviously, we are looking on the technology site, is that something digital for the right return? And is there something other on the industry which will bring us an advance? But I think we're going to continue to be very smart on our capital allocation. And we have been very diligent when we look on our M&A activities.
John Kimbrough Davis - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, guys.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Hikmet Ersek - The Western Union Co.: Thanks, bye. Okay.
Michael Alan Salop - The Western Union Co.: Okay. Thanks everyone for joining us today. Hope you have a good afternoon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.